Operator: Hello, everyone. Thank you for joining us, and welcome to the Power Integrations' Q4 Earnings Call. [Operator Instructions] I will now hand the call over to Joe Shiffler, Senior Director of Investor Relations. Please go ahead.
Joe Shiffler: Thank you, Chelsea. Good afternoon, everyone. Thanks for joining us. With me on the call are Jen Lloyd, our CEO; and Nancy Erba, who joined Power Integrations last month as CFO. After Jen and Nancy's prepared remarks, we'll open it up for questions. Our discussion today will include forward-looking statements denoted by words like will, expect, should, outlook, forecast and similar expressions that look toward future events or performance. Such statements are subject to risks that may cause actual results to differ from those projected or implied. Such risks are discussed in today's press release and in our most recent Form 10-K filed with the SEC on February 7, 2025. During this call, we will refer to financial measures not calculated according to GAAP. Non-GAAP measures in the fourth quarter exclude stock-based compensation expenses, amortization of acquisition-related intangible assets, expenses associated with an employment litigation matter and the tax effects of these items. A reconciliation of non-GAAP measures to our GAAP results is included in today's press release. This call is the property of Power Integrations, and any recording or rebroadcast is expressly prohibited without the written consent of Power Integrations. Now I'll turn it over to Jen.
Jennifer Lloyd: Thanks, Joe, and good afternoon, everybody. Overall, our fourth quarter results were largely in line with our expectations with a revenue of $103 million and non-GAAP earnings of $0.23 per share. I'm also pleased to report that we returned to growth in 2025. Full year revenue was up 6%, non-GAAP EPS grew by 8%, and we generated $112 million of cash flow from operations, up $30 million from the prior year. Last quarter, I shared that OpEx control would be an immediate priority, and we demonstrated that in Q4, reducing non-GAAP expenses by more than $2 million from the prior quarter. We are announcing today that we carried out a restructuring earlier this week, reducing our global workforce by about 7%. While such decisions are difficult, we took this action to better align expenses with revenue. This creates flexibility to invest in products, people and markets that will create long-term value for shareholders. Looking at recent business trends, booking improved significantly in Q4 after slowing in the prior quarter, partly as a result of excess appliance inventory shipped into the U.S. last year ahead of the tariffs. Encouragingly, the largest U.S. appliance OEM reported last week that this preloaded inventory has largely dissipated. Part of the recent improvement in orders relates to appliances, and we expect sequential growth in our consumer category in Q1. However, our broader view is that appliance demand continues to face headwinds, including low existing home sales in the U.S., the effect of tariffs on appliance prices and ongoing softness in China housing. The industrial market has been a key driver of the recent uptick in bookings, and we expect industrial to be our fastest-growing market again in 2026, starting with a strong Q1. Overall, we generated 10% growth in design win value in 2025 with particular strength in GaN and high-power products. We are also encouraged by customers' response to our new TinySwitch-5 ICs with a healthy pipeline of designs scheduled to begin production in the second half of 2026. Additionally, our multi-output GaN-based InnoMux-2 integrated circuits are seeing strong design traction in the TV market. These and other upcoming products will enable us to sustain and grow our core IC business even as we shift our investment priorities towards markets like AI data center, industrial and automotive, where our expertise is helping customers solve their toughest power challenges. Advanced high-voltage technologies are essential to the emerging power ecosystem. Our solutions span from the generation of renewable energy to long-distance DC transmission to battery storage to smart meters at the edge of the grid to the efficient use of power in homes, factories, data centers and vehicles. While it will take time to fully align our R&D and go-to-market efforts with our long-term strategic plan, recent results demonstrate that we have already built momentum in some of the markets we are targeting for long-term growth. For example, revenue outside of cell phone applications has averaged 12% growth over the past 2 years. And in 2025, industrial revenue grew 15%, driven by the big picture themes that are integral to our growth strategy, electrification, renewable energy and grid modernization. These themes are especially relevant in our high-power industrial business, which had a record year with double-digit growth, driven by electric rail, where we have a very strong position in the India locomotive market and by high-voltage DC transmission projects delivering renewable energy to the grid. We expect recent design wins to drive continued growth for high power in 2026 and beyond. Some Q4 customer wins included a leading European maker of inverters for utility scale solar and battery storage, commuter trains and street cars in Europe and Africa and multiple wins for power grid projects in India. In our industrial IC business, we saw double-digit growth in metering last year due to our leading position in deployments of smart meters in markets such as India and Japan. Our ICs enable compact, reliable designs with low standby consumption, making them ideal for meters, and we're now seeing customers migrate to our 900 and 1,250-volt GaN products for additional protection against the voltage swings common on India's grid. Another area of growth in our industrial business last year was power tools as lawn equipment and other tools continue to migrate to battery power. In automotive, we continue to make steady progress penetrating the EV market with our auto qualified InnoSwitch products for inverter emergency power supplies. We secured a design win in Q4 at a top Chinese Tier 1 supplying a leading EV maker and began production just this week on a design at the #1 European EV carmaker. Another highlight of our 2025 results was the continued success of our PowiGaN technology in the power supply market. Revenue from PowiGaN products grew more than 40% for the year. Notable GaN design wins in Q4 included a dual USB-C charging port. Charging ports integrated with AC outlets require both high power density and low standby consumption, making them an ideal application for our highly integrated GaN solutions. Also in Q4, we began production on a new server auxiliary design for a U.S. cloud services provider using a GaN-based InnoSwitch. As we discussed on last quarter's call, auxiliary power is a key aspect of our engagements with data center customers, including with NVIDIA on their next-gen 800-volt DC architecture, where our 1,700-volt GaN solutions offer a compelling alternative to silicon carbide. As I've met with shareholders during my first 6 months as CEO, I've been clear about the fact that we need to reorient our organization to ensure that our strong technology foundation translates to success in the market. That means a more customer-focused approach to product development and faster time to market. Changes like these take time, but we are moving with urgency. We are streamlining our R&D pipeline to focus on delivering our highest priority and highest value products in time to intersect the market. We've also moved quickly to strengthen the team to better leverage our unique capabilities in high voltage and deliver the right products for the evolving power ecosystem. New members of our team include Chris Jacobs, who joined us last month from Micron Technology to head up Marketing and Product Strategy. We welcomed Julie Currie, our new Head of People and Culture Transformation. And Nancy Erba as CFO, who you'll hear from in a moment. We have also bolstered our strong innovation capabilities with targeted hires in key technical roles. I'm very excited about the depth and breadth of experience in our team, and I'm confident in our ability to serve customers and create long-term sustainable value for shareholders. With that, I'll turn the call over to Nancy, who joined us 1 month ago as CFO. Nancy is a seasoned public company CFO, having served in the role for 6 years at Infinera until its sale to Nokia last year and previously as CFO at Immersion. Those CFO roles followed a long run of senior leadership positions at Seagate Technology. So I'm thrilled to have her as part of our executive leadership team. Nancy?
Nancy Erba: Thanks, Jen, and good afternoon, everyone. I'm excited to be part of the POWI team, and I look forward to meeting many of our investors and analysts in the weeks and months ahead. I'll share a few observations from my first month in the CFO role and after a brief review of the results and the outlook. Today, I'll focus primarily on the non-GAAP numbers, which are reconciled to GAAP in the tables included with our press release and 8-K. Power Integrations had a solid year in 2025, returning to top and bottom line growth and generating healthy cash flow. Revenue fluctuated more than usual over the course of the year as tariffs disrupted the appliance market, and we experienced some lumpiness in our industrial business. But ultimately, revenue increased by 6% for the year with 3 of the 4 end market categories increasing year-over-year and industrial positioned for continued strong growth in 2026. Fourth quarter revenue was $103 million, down 13% from the prior quarter. On a sell-through basis, sales were down only 3% from the prior quarter as sell-through exceeded sell-in and we worked down channel inventory built in Q3. Channel inventory for Q4 fell by about half a week to 9.4 weeks. Looking at the end market categories. Industrial revenue was down 23% sequentially after 2 very strong quarters, reflecting recent seasonality and variability in customer order patterns. Overall, though, our industrial business had an outstanding year with growth of 15%. Consumer revenue, which is predominantly from appliances, was down 13% sequentially in Q4, largely reflecting the overhang of appliance inventories shipped in the U.S. in the first half of 2025 ahead of the tariffs. That effect can be seen clearly in the first half over second half comparison with consumer revenue falling by more than 15% half-over-half. In spite of that volatility, consumer revenue was slightly up for the full year. Revenue from the computer category was down 5% in Q4 on lower tablet revenue, offset by higher sales for notebooks. For the year, computer revenue was down 2%. Communications revenue grew 15% sequentially in Q4 on new design ramps in cell phone and the India 5G broadband business and for the year, grew 6%. In summary, revenue mix for the quarter was 37% industrial, 34% consumer, 15% communications and 14% computer. This mix was less favorable than the assumptions behind the Q4 gross margin guidance. And as a result, non-GAAP gross margins came in slightly below the range set at 53.3%. However, non-GAAP operating expenses of $45 million came in well below the outlook of $47 million, primarily driven by lower hiring and discretionary expense control efforts. Curtailing OpEx growth to a level well below revenue growth is a priority for the company and a key area of focus for me this year. Our Q4 results and the restructuring we carried out this week are important steps in that direction. Moving to tax. We received credits in Q4 related to new solar generating capacity we've recently turned on at our San Jose headquarters. These credits plus a higher-than-expected R&D tax credit brought our full year non-GAAP tax rate down to 2%, resulting in a negative 3% tax rate for the fourth quarter. Non-GAAP net income for the quarter was $12.7 million or $0.23 per diluted share, including a benefit of about $0.02 from the lower-than-expected tax rate. I will mention one item in the GAAP results. Stock-based compensation expense was negative in the fourth quarter, reflecting a reduction in the expected vesting of short- and long-term performance-based shares. As a result, GAAP EPS for the quarter was $0.24, $0.01 higher than the non-GAAP number. Turning to the balance sheet and cash flow. Cash flow from operations was $26 million for the quarter and CapEx was $7 million. Inventories on the balance sheet increased by $2 million during the quarter, while days of inventory on hand rose to 313, reflecting the lower revenue number. Importantly, wafer inventory came down in 2025, and we expect that, along with revenue growth to continue to contribute to a reduction in overall inventory days over the course of 2026. Moving now to the full year results. Revenue was up 6% for the year. Non-GAAP gross margin was 55.1%, up 70 basis points from the prior year, mainly driven by higher industrial revenues as a percentage of our mix with some additional benefit from higher back-end manufacturing volumes. Non-GAAP OpEx increased by 5% and non-GAAP operating margin increased by 100 basis points to 13.9%. Non-GAAP EPS was of $1.25 was up 8% for the year. The strength of POWI's balance sheet and cash flow generation continues to be compelling. In 2025, cash flow from operations was $112 million, while CapEx was $24 million, resulting in free cash flow of $87 million, demonstrating that our business continues to generate healthy cash flow. For the year, we returned $145 million to shareholders via buybacks and dividends or 167% of our free cash flow. Next, I'll review the first quarter outlook. We expect first quarter revenue to be between $104 million and $109 million. I expect non-GAAP gross margin to be between 53% and 54%. Mix should be favorable relative to Q4 with higher industrial and consumer revenue as a percentage of the total. Non-GAAP operating expenses for Q1 should be in a range of $46 million, plus or minus $0.5 million. The increase from Q1 reflects the resumption of FICA payments, offset by a partial quarter of impact of the restructuring, which reduced our global workforce by about 7%. Our GAAP results for the first quarter will include a restructuring charge of between $3.5 million and $4 million. Our effective tax rate steps up in 2026 as the benefit of solar credits is nonrecurring. And more significantly, the tax rate on foreign earnings increases as specified in the 2017 tax reform. I expect our effective tax rate for the quarter and for the year to be in the range of 7% to 8%. Before we open it up for Q&A, I'll offer a few thoughts on my first month in the CFO role. I'm excited to join POWI's management team under Jen's leadership at this very pivotals time for the company. Our technology is creating increasing value for our customers and giving us access to expanding new markets like automotive and AI data center. I see a clear opportunity to translate that into profitable growth for our shareholders. As CFO, my initial focus will be on establishing rigorous operating cadences, strengthening processes and leveraging automation to drive operational efficiency and scalability. And of course, I also want to recognize the Power Integrations finance team. They are a highly capable, disciplined team and an important asset to the organization. For our analysts and shareholders on the phone, I look forward to meeting you in the coming weeks and months. And now Chelsea, let's begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Ross Seymore with Deutsche Bank.
Ross Seymore: I guess, first, welcome to Nancy. And then I guess my first question, one near term and then the follow-up would be a longer-term one. In the near-term side of things, you talked, Jen, about the bookings increasing significantly in the fourth quarter. It's good to see you returning to growth in your first quarter guide, but it still seems like the channel inventory is a little bit high. So can you just talk about the plans that you have to burn that and what it might mean to the subsegment guides for the first quarter and maybe expectations of the growth rate for the year?
Nancy Erba: Yes. Ross, this is Nancy. I'll start and then Jen can jump in. Certainly, we're glad to see the inventory come down a bit, as you mentioned. As we look forward to the full year of '26, part of the action plan that I laid out in terms of my areas of focus are really on these I'll say, rigorous cadences. We'll be looking at inventory, both in terms of weeks in the channel, but absolute value of inventory on the balance sheet and driving those plans through the year. We do expect, based on our plan today to see that come down to, I'll say, a healthier level. But certainly, it's dependent upon the Q1 and the first half bookings, the mix of those bookings and the timing and how much of the turn business we have to get each quarter. But net-net, it is absolutely on our list of key objectives to be able to bring that overall level of inventory and the weeks on hand back to a more healthy level in the channel.
Ross Seymore: Great. And I guess as my follow-up question more on a longer-term basis. You talked about the high-power business, auto, data center, et cetera, and you mentioned GaN going up 40%. As you look over the next couple of years, when do you think those items are going to be meaningful enough in size to start moving the aggregate revenues and accelerating the growth?
Jennifer Lloyd: Yes. So you mentioned 4 high-power, auto, data center and GaN. I think GaN -- I'll just start backwards. GaN is pretty meaningful today. And we mentioned in the call, growing 40% year-over-year this year. So it's becoming meaningful. High power is a very meaningful driver of our industrial business. I think we're already there, and we see continued acceleration of that next year, and that will support the industrial growth. Automotive and data center are going to take more time. I think we're doing well there. In automotive, we're seeing the wins. We mentioned some earlier. We are seeing that the market is a bit slower than we would have liked, and we're also seeing some design ramps push out, but we still see that we continue to win designs. And so that's going to take a little bit of time to materialize. And then data center, I think we're making good progress. I think we're engaging well across multiple customers and opportunities. We're developing our products and demonstrating capabilities to those customers and moving with urgency there. But as we have talked about, that's probably our longest-term play. So that -- we won't see that be material for a couple of years.
Operator: Your next question comes from David Williams with Benchmark.
David Williams: Let me also offer my welcome to Nancy. I guess maybe first, as you guys kind of look across the landscape and just kind of how things are developing here, it feels like overall, the demand environment is generally improving, just kind of depending on where you're positioned. But I guess if you look across all of your segments, how do you think -- and where do you think we are in the cycle in terms of are we at the bottom coming off the top or at the bottom turning here? Or are we still some time away just kind of given the inventory digestion that needs to happen?
Jennifer Lloyd: Yes. Maybe I'll start and then Nancy can add. I mean, I do think the one area that is still we're being conservative on is in the consumer business with appliances. And we have seen improvement there, but we are also well aware there's still quite a few headwinds there. So the way we're looking at it is that will -- if things like the housing market takes off, interest rates come down, that would be upside for us. Nancy, do you want to add anything to that?
Nancy Erba: Yes. I think we're really glad to have returned to growth in 2025. I think for '26, we're planning on, I'll say, similar growth levels year-over-year. As Jen said, though, it is very early in the year, and we're going to have to see how demand plays out in the first half. It has been lumpy in certain areas to date. But net-net, we're going to be planning for similar growth. However, I will say we're going to be cautious in our investments until we see those bookings really taking form and the step-ups that we expect to see, making sure that they are happening before we dive in deeper to certain investment areas. So you're going to see us be cautious on that as we are in '26. But we are optimistic over -- as Jen said, over the next couple of years, the markets that we're entering have great opportunity for us to step up that growth rate in the outer years.
David Williams: Okay. Great. And then maybe just some color around your reorganization. And I know you talked about reprioritizing R&D efforts and accelerating that time to market. But if we kind of look at it, it feels like maybe we're starting to see some of that already take hold. Can you talk maybe about how we should see this unfold over the next couple of quarters and maybe the next year in terms of how this repositioning is helping?
Jennifer Lloyd: Yes, a couple of things. I mean some of it is the restructuring and it's giving us the flexibility to strengthen. So that will continue to play out and everything there is good. In terms of the R&D, we also are bringing some real focus into the team. And acting with greater urgency and more agility, and that's a key part of how we're expecting to accelerate growth going forward. So I think a good example of that actually is in the data center space where we're working with NVIDIA. We've got much more openness in terms of our road maps and our product development discussions. And we are pivoting our focus areas so that we can address the opportunities and really intersect where the customer needs are. So there's the restructuring piece of it, but there's also the driving the change in terms of how we behave and bring a customer-centric view into the product development organization.
Operator: Your next question comes from Tore Svanberg of Stifel.
Tore Svanberg: And let me add my welcome to Nancy as well. I guess my first question is on automotive. It sounds like it's finally starting to contribute to some revenues. I think maybe there's been some talks about maybe this being sort of like low tens of millions of revenues, at least in the beginning. I mean, is that a number we can expect this year? Or given what you said before about some potential delays, that's more of a 2027 target at this point?
Jennifer Lloyd: Yes. I think the latter is fair.
Nancy Erba: Yes. I think it has the potential, right? But again, we need to see these wins start transpiring into the volumes that are needed. But there have been some delays in the EV market. We are pleased with the traction and the customer wins that we've seen. We're going to do everything we can to drive to that level. But whether it's 12 months or 18 months, I think that's the window we're thinking about.
Tore Svanberg: Very good. And on the OpEx, I think you mentioned the sort of only half a quarter benefit from the restructuring. So you gave guidance, obviously, for the March quarter. So should we expect OpEx to come down by a few more million dollars in the June quarter then?
Nancy Erba: I would think for the year, right, I'll frame it this way, right? If you look at revenue growth historically and OpEx growth, they've been fairly close. We're trying to cut that to get to about half. So for the year, I would think in the, call it, $3 million to $5 million range. And again, it was 7% of employees that were impacted. And we are continuing, though, to do work around the full business model and understanding right, where we have leverage that perhaps could be better utilized to focus on the areas that we are expanding into that we think long term drives the greatest shareholder value. So in addition to the actions that we took, we are going to be assessing really all of the programs, all of the new programs, as Jen mentioned, with Chris coming on board and really making sure that those prioritizations are exactly where we need to be and that the return on those investments are measured and we hold ourselves accountable to them as we are running the operation. The other piece of that in terms of customer centricity and really focusing on the customers' needs is the mix in terms of our go-to-market investments versus R&D and G&A and making sure that we are properly supporting our customers as we are out trying to move into these new opportunities for the company.
Tore Svanberg: Good. And just my last question, maybe related to what you just discussed there. So I mean, the consumer segment seems to have been soft for a while now. I mean I'm glad to see the bookings coming back and maybe the inventory being adjusted. But as you continue to do this restructuring and thinking about your end markets, are there certain areas within consumer that you would perhaps consider exiting? Or do you still see that as an important growth segment for the company?
Jennifer Lloyd: I don't think there's anywhere right now that we've identified in terms of exiting. It will still be a growth segment for us. And as we consider the whole portfolio of our investments, we are looking at what's the appropriate investment based on the growth rate that we're that we expect for that. So over time, we'll be pivoting towards the highest growth segments. For now, it's an important business for us to make sure that we support.
Operator: [Operator Instructions] Your next question comes from the line of Christopher Rolland with Susquehanna.
Christopher Rolland: I guess for me, first of all, if you could maybe talk a little bit more about the cloud provider win for aux power. And then AI more generally, can you talk about broadening this portfolio into other applications beyond aux power and what you think that might mean for the top line overall?
Jennifer Lloyd: Okay. So the first question was about the aux power win. cloud provider. So as you know, I think we've talked about before, aux is a socket for us that we see across a number of applications. And that win is an important validation of the latest products that we have. Aux power in general, isn't the largest opportunity typically as you talk about data center type systems. So over time, we hope to use that as an entry point with customers, but expect to expand our footprint. So it's kind of a -- it's a good entry socket across a number of applications.
Christopher Rolland: Yes. I guess I was just asking what sockets might be next like, yes, if you want to hit that, and then I do have a follow-up.
Jennifer Lloyd: What sockets might be next for aux power...
Christopher Rolland: What no, no, no. What sockets and applications for your products, GaN and/or silicon within the data center 800 volt at NVIDIA or XPU infrastructure?
Jennifer Lloyd: Yes. Got it. Got it. Yes. No, I mean, aux power is just a small part of the system. So we are looking to intersect the main power supplies where you'd expect a much more significant SAM there, and that's in development now.
Christopher Rolland: Okay. Understood. And then maybe industrial, I think you talked about '26 that being your fastest area of growth. Perhaps talk about the underpinnings there. What do you think is going to drive that market-leading growth for you guys? Does it have anything to do with a clean channel and/or channel fill? Any other details underpinning that optimism would be great.
Jennifer Lloyd: Yes. I mean I think really a lot of the optimism comes from our high-power business that grew really well this year. I think our go-to-market efforts there are strong, and we are expecting that to be a significant driver for next year. So we talked about that earlier. We've seen really good growth in our metering business. We're still expecting that to drive growth next year. So really, all of the industrial growth areas this year, we're expecting that to continue, and we have the win growth to support that.
Operator: There are no further questions at this time. I will now turn the call back to Joe Shiffler for closing remarks.
Joe Shiffler: All right. Thank you, Chelsea. Thanks, everyone, for listening. I know it's a busy afternoon of earnings. So we appreciate you tuning in. There will be a replay of this call available on our website that's investors.power.com. Thank you again, and good afternoon.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.